Operator: Good day, everyone, and welcome to the Pressure BioSciences Second Quarter 2023 Investor Call and Business Update. 
 [Operator Instructions]
 It is now my pleasure to turn the floor over to your host, Richard Schumacher, President and Chief Executive Officer of Pressure BioSciences. Sir, the floor is yours. 
Richard Schumacher: Thank you, Matthew, and welcome, everybody, to the PBIO second quarter financial review and business update. As always, we'll begin with a cautionary statement. The following remarks may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of the company to be materially different from any future results, performance or achievements expressed or implied by such forward-looking statements. 
 Such factors include, among others, those detailed from time to time in the company's filings with the Securities and Exchange Commission. We expressly disclaim any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements to reflect any change in our expectations or any change in events, conditions or circumstances on which any such statement may be based.
 For the agenda today, first of all, I am pleased to welcome back to our call, the company's Chairman of the Board, Jeff Peterson. Jeff, welcome. 
Jeffrey Peterson: Rick. Hello to everybody. Glad to join you again. 
Richard Schumacher: So for today's meeting, we're going to start with a brief discussion of the 2023 second quarter financial results. Of course, those were published last night and again today in a press release, so we don't need to spend time going through them by the number, but we certainly will talk to them and talk about them. Then we're going to highlight some of the operational and technical successes that we achieved during both the first and second quarters of 2023 as well as some of our goals and expectations for the rest of the fiscal year 2023 and after and as part of our general business update. 
 Afterwards, we'll answer a handful of questions that have been sent to Jeff and me with a request that we address them on today's call. And after that, if time is remaining, we'll be pleased to open up the phone lines and take a few questions live. 
 So for the financial review, I'm going to discuss the second quarter. And I'm also going to discuss, not only the second quarter compared to the second quarter of last year but also the first 2 quarters of this year. 
 Basically, it was a good second quarter. We had, as you recall, a much better first quarter, a record first quarter. This was a record quarter for -- 2 quarters, quarter 1 and quarter 2, but it was a good quarter, both financial, but particularly on an operational and technical basis. Our total revenue, our instrument sales, our consumable sales and PBI Agrochem sales were all higher in Q2 2023 than they were in Q2 2022. 
 It goes without saying that, that we're disappointed that we had no UltraShear's revenue in the second quarter but we had intense focus during the first and second quarter of this year on the planned launch before the end of the quarter, and we did launch in the -- around the 23rd of May, our UltraShear process Nano-CBD topical spray. So very happy that we were able to get that out and I know a number of people on the phone call today have already purchased that spray and have already seen how well it works.
 So we knew it was going to be a tough quarter to get UltraShear sales in Q2. But as mentioned in today's press release and certainly on the last conference call, we fully expect to post strong UltraShear revenue in Q3 and Q4 of 2023. It also remains our goal to have at least one quarter with greater than $1 million in revenue in 2023. So it's our goal for 1 of the next 2 quarters to be over $1 million in revenue. It also remains a goal for next year to have our first quarter ever where we have each month in the quarter $1 million in revenue. These are lofty goals, but we can hit them, we feel and believe that we can hit them. We've got tiger by its tail. 
 We are clearly very happy with the performance of our UltraShear Nano-CBD topical spray. We'll be releasing an oral spray later this year, perhaps in September. And we're excited about that, and the data to date has been extremely good. And so between the 2 of them, the topical and the oral spray, we do believe that it's possible that we could take our sales, which are generally about $2.5 million per year, and it puts that in just 1 quarter next year to do about $1 million a year -- a month -- $1 million -- sorry, a month per quarter next year, at least once, if not more often. 
 So very excited about that. It's going to be driven by UltraShear. We've talked about that in the previous meetings here on the phone, investor meetings and in some of the comments we've made, we've talked about that for quite some time, certainly for the all of 2023 so far. 
 So I think there's 2 things on the financial highlights of the second quarter that I'd like to point out. The first is that our cash burn continues to be decreased. We are very cognizant of our cash burn. We're very cognizant of needing to put that cash totally towards the use of getting the UltraShear platform out and working. We are spending 90% roughly of all of our efforts in UltraShear. And -- so between the efforts and the cash that's going into it, we've been able to make very good headway both technically and in expanding our distributor base. We'll talk about that, too. But most importantly or just as importantly, we reduced the cash burn from operations. 
 In the first quarter, we talked about it. It was a 44% decrease year-over-year from the first quarter of last year 2022 to where we were just around $422,000 in the first quarter. In the second quarter of this year, we've decreased our cash burn year-over-year from last year, about 28%. So overall, we've decreased our cash burn for the first half of this year compared to the first half of 2022. We went from $2 million in cash needed for operations in 2022 to $1.3 million in 2023. And that's about a 35% decrease. So it reduces the amount of cash that we need to either borrow or dilute by selling equity. But we've still been able to make good headway in both the technical and the operational areas of UltraShear in particular. 
 A lot of it's come out of our BaroFold and our PCT. We're still working in those areas, but we're minimizing our efforts in those areas, taking care of our customers, which is so important but not working on anything new in those 2 areas right now as we put all 90% of our efforts into UltraShear. So very happy to say that the cash burn has decreased tremendously over the first half of this year. 
 In the press release that went out today, Jeff, who's with us, mentioned a few things. And Jeff, I'm going to ask if you could maybe take over the podium here and talk about several of the things that you mentioned today in the press release. 
Jeffrey Peterson: Sure, Rick. I think one of the things that we were particularly pleased about is a great deal of our attention has been focused on restructuring of the balance sheet and on our path to being able to complete an uplift to NASDAQ or NYSE at the earliest opportunity. And in the course of this, one of our major long-term investors during the second quarter agreed to convert $10 million of debt into preferred stock. And that obviously has a very significant beneficial impact on the balance sheet and is an important stepping stone toward our intended uplift efforts. 
 We anticipate that a significant amount of additional debt position is also positioned to convert to equity as we complete financing efforts associated with uplisting. So we're pleased with the positive progress and how pieces of that puzzle continue to align for us. As part of these efforts, I would just comment that the Board has continued to put some strong attention on strategic opportunities that could help accelerate us either looking at noncore assets that we could divest and help create some funding to assist that path or looking at some strategic merger/acquisition roll-up opportunities that would be accretive, but importantly, would be strongly leveraged by the impact of our UltraShear platform. 
 The UltraShear platform, as I think our audience has been learning over many months now is a transformational technology that will be game-changing in our view, in a wide variety of industries from food and beverage to nutraceuticals to cosmeceuticals, agrochem, pharmaceuticals and other areas. The ability to take an oil-based or oil soluble active molecule, whether that's a nutraceutical like astaxanthin, the leading antioxidant in the world or retinol in a skin care product or a wide variety of other products across the markets I've mentioned. 
 Obviously, cannabis is one that we have looked at, THC, CBD and various other cannabinoids are all getting a lot of attention in different applications. And they're oil-based actives. And for our water-based biology to absorb them, we have to get these into tiny enough droplets of oil that our bodies can rapidly absorb the active molecules out of those droplets.
 And doing that and avoiding undesired chemicals for consumers, undesired damage to the product by competitive processes is highly desirable. And the UltraShear technology has been showing some truly revolutionary capabilities in being fast acting, fast absorbing, much more effective payload or dose delivery. So we're very excited about the initial progress being demonstrated about some preclinical study results that should be released, results we've also been generating in consumer testing. So excited about that, and I think the path continues to be bright. 
Richard Schumacher: Thanks, Jeff. The last part of this before we get to some questions, we wanted to go over some of the operational and technical highlights. Jeff touched on a couple of them, but they're in today's press release, and they're in the queue. And they've come out -- most of them have come out as press releases during the quarter. And so the first one relates to the UltraShear Nano-CBD commercial rollout. When we did this in the -- around the 23rd, 24th of May, we had 4 distributors and they each had a number of retail outlets. Some of them were brick-and-mortar and some were selling it through e-commerce or both. 
 And we started out with a very deliberate and conservative expansion of our commercialization. And we had these 4 groups and it took about, I don't know, 6 or 7 weeks, and we felt comfortable that we were covering all the bases and that everything was working well. And so we announced about 4 weeks ago that we were going to enter into a Phase II, and the Phase II is a much more rapid expansion. And then 3 weeks after that, which was last week, we announced that we had more than doubled our distribution network. We've gone from 4 to 9 and that we had received around $300,000 in orders that are to be shipped over the coming -- over the rest of the year. Much of it will be shipped before -- much before the end of the year. 
 We're working on an additional and we told everybody at the time, expect to see us add additional distributors. We're a business-to-business company. We don't sell the final product. We make the product and we either sell it in vials in which a customer will put its label on it, white-label it and sell it as their branded product or we will sell them a bulk material. It could be a leader. It could be a thousand leaders that they will then dispense into their own vials and label them and sell them. We don't want to compete against our own customers.
 So our goal is to have 100 distributors by this time next year. We initially said 50, but with the rate we're going, we've now increased that by saying around this time next year, by next Labor Day, we hope to have 100. That's 100 distributors. Each distributor has one, two dozens or even multiple dozens of retail outlets that are going to be selling the product out. So we're very excited about that because 1 distributor could mean a dozen, 2 dozen or even 5 dozen retail outlets that will be selling it to hundreds, dozens hundreds, maybe even thousands of customers. So we're going to get it out there. 
 Our goal is to get to a number 420 end retail outlets. More about that later. We'll be -- we're putting something together to put out in a press release why 420? Why is that important? And what does that mean to us? That will be out soon, but that's the magic number to us is 420 endpoint retail outlets that will be selling it. And again, those retail outlets could be selling to dozens, hundreds of customers. We think we can get to that within a year -- get to that number. And we think that the number of distributors themselves will be between 15 and 100, and we're shooting for 100. We now have 9. We are working on a handful more and once those are under contract, we'll be looking for even more. 
 So I think every week or two, you could expect to hear from us about adding on to the distribution network because that's how we're going to be selling the product. And it's not just one product by the time we get to, let's say, the end of September, October 1, we hope to have the oral spray product out as well as the topical. We've had tremendous responses on the topical. So that is accelerating. We also had a press release out very interesting. I've been following the story for a couple of years. I've been seeing things in the news about people using CBD and it needs to be -- Nano-CBD and needs to be able to be absorbed into produce, fruits and vegetables to slow down the ripening. 
 I've seen pictures of strawberries in 15 days, and everybody on the call probably knows what strawberries look like. We buy them in the store or at the market. And 5 days later, if they're not eaten, they're pretty grungy. I've seen pictures of strawberries that were 15 days old that had been sprayed with different coatings. And if it's a natural coating, like a Nano-CBD, they've shown -- I've seen pictures of 15 days where it look like it was bought that day. 
 And so very excited about this because we believe that we have the best method -- delivery method to make Nano-CBD in the world right now. We have reasons -- many reasons to believe that. And if it's a CBD product, Nano-CBD product that can slow down the ripening and give you a much longer term, 2x or 3x the shelf life for fruits and vegetables. That's something we're very excited about and we're looking into.
 Jeff, you mentioned the key academic publication that is, we believe, coming out. We were told it was submitted a few weeks ago. And we believe that the data are going to be very compelling. This is an academic publication that's based on an animal model that looks at how well our Nano-CBD that is processed using UltraShear, how well is absorbed in the animal, how quickly it's absorbed and how quickly it gets to 100% absorbance. And we believe the data will be extremely compelling. 
 We are waiting on the edge to see this come out because we believe that it's going to show our Nano-CBD made by UltraShear in the best light possible. 
 Jeff, you already talked about it? Do you want to add something to that, please? 
Jeffrey Peterson: Yes, I will expand a little bit around that and perhaps explain a little more clearly some of our excitement about the topical applications for a nanoemulsions. We've specifically, of course, been recently focused on CBD and THC applications with partners, although we certainly have been doing work in other areas, a couple that I mentioned, astaxanthin and retinol that have both come back with some remarkable early results in the hands of external evaluators. But just talking about the CBD and I'll specifically talk about THC in that, I think so many people can relate to this. 
 THC for consumers, whether it's for recreational use or other purposes, THC has traditionally been consumed in 1 of 2 primary modes. You're either inhaling it, smoking it or vaping it. And the big drawback of that is the long-term health impact to the lungs and more broadly beyond that. But the concern about health impact in the lungs is the #1 limiting factor on the inhalation side. A lot of folks don't care for all the equipment and stuff that is necessary in various other aspects of messages and so on. But the health impact, of course, is the leading issue. To avoid that, there's been a tremendous amount of consumption via the gastrointestinal tract, eating various forms of THC products. 
 And the fundamental problems associated with that are the slow response and the issue is if you're ingesting it, it takes a while to get down into the stomach to get absorbed. But even after you absorb it, the thing that so many people, I think, just aren't aware of is the fact that everything going into your bloodstream from the gastrointestinal tract is rooted directly into the liver. It doesn't go directly from the GI tract into your circulating blood stream, it goes directly into the liver where it encounters what is called first-pass metabolism. So your liver gets a chance at shopping up and reducing the various nutrients and other inputs that is received from the GI tract as the very first step.
 Well, that is so efficient in the case of THC to use that example, that the actual amount of circulating product, whether talking about THC or CBD in the bloodstream. If you look up Wikipedia and look at results through CBD, you'll see a 5%, 6% bioavailability number. And that's just in Wikipedia, you'll certainly see that in all kinds of scientific publications in that area. What that's telling you is no matter how efficiently you've absorbed it through the gut, the liver has reduced it to metabolites so efficiently that you're only getting 5% or 6% of that CBD or THC circulating in the bloodstream. 
 The alternative of a topical product that you can spray into the cheek or under the tongue, not accumulating it to be swallowed and go through the gastrointestinal tract, but actually penetrates straight through the skin or in many cases, just applying it to the skin. Certainly, in the pain management arena, that's being done a lot with CBD and THC products as well.
 By spraying directly into the cheek and under the tongue, you have the ability to get very fast absorption through the skin and very effective payload delivery. And we can tell from the studies that were done in rats that Rick mentioned that the actual absorption efficiency is extremely high. It's just the first-pass metabolism in the liver that is reducing the effective amount of the blood stream. So if we bypass that and go through the cheek, under the tongue or potentially through the skin, the efficiency of delivering a dose, whether it's THC, CBD or a wide variety of other products that may follow that, is enormously increased. 
 And we saw in some 50 patients answering questionnaires is, I shouldn't say patients, 50 consumers answering questionnaires as we did testing on THC oral spray formulations, but they were seeing first effect in many cases, in a minute or less, in most cases in 3 to 5 minutes, in a small number of cases, closer to 10 minutes. But nonetheless, when you compare that to gastrointestinal tract where people are waiting 45, 60 minutes to get first effects and then where they become frustrated by the lack of effects, take more and find themselves a couple of hours later, wondering why they're on the floor. 
 It's a story that, I think, so many have heard, if not experienced over the years. The opportunity to have very fast action in an oral spray and a very high effective dose delivery happening then within typically 15 to 30 minutes is a complete paradigm shift. And it's something we expect to affect many different markets as it happens, the cannabis market is one that has been an effective tool where people can relate to experiences personally and understand the difference in mechanism. 
Richard Schumacher: Thanks, Jeff. So the -- Jeff touched on it on the last technical highlights and operational highlights, I wanted to mention was the study. We had about 65 consumers in 3 different focus groups take our -- take a THC product that had been processed using UltraShear. So it's not our product. It's a product that's been made using UltraShear, and these are done in California and where Jeff is and people have been using THC for a while and producing and processing THC. And we had a small instrument, which they -- we brought into the company and taught them how to use it, and they made a terrific THC product, the spray product.
 And as one of my fraternity brothers told me at a union just in May of this -- June of this year, he said, Rick, I need to take a gummy every night to sleep. And I only want to take 3 or 4 milligrams. I don't want to get high. I just want to get relaxed. And I got to take it 45 minutes before I go to bed and if I forget, then I don't go to bed for another 45 minutes. And he said, so you'd be -- you'd have a winner if you could close that window between the immediate effects of THC when you smoke or vape it versus the effects when you take it as an edible like a spray or a gummy of usually for him, 45 minutes and for many people, 30 minutes to 60 minutes. 
 And so material was made using our UltraShear and studies were done and -- by an independent third-party group. And what they found was astounding. What they found is that, as Jeff alluded to, the vast majority between 3 and 5 minutes, we're feeling the effects, some in 1 minute, some in 8 or 9 minutes. Usually, those are the people that had to take many, many milligrams. 
 And so we're looking at a very fast-acting THC because of just the reasons Jeff laid out. It was getting into the bloodstream extremely quickly versus the -- normally a much longer and slower route because it was a spray that they made that was being sprayed under the tongue or in the cheeks and it was getting into the bloodstream almost instantaneously and people were feeling it within 3 to 5 minutes. So we are talking to a number of people about that. THC is a little more difficult because every state has its own rules. We'd have to bring machines in every state. 
 We are talking to multistate operators, and we're talking to individual companies. but CBD is a lot easier because we can do that here in Massachusetts and ship it. And Jeff is busy working on developing the capabilities to do some of this also in California. As we had mentioned over a year ago about having a bicoastal, having both East and West Coast, available to our customers. 
 So that's all I wanted to go through there. I do have a bunch of questions that I wanted to attack. Some of them we already have, Jeff, as you can see from the list that you had but one of them that comes up, I'm not going to say a lot, but it's come up a lot lately, which is the value of our intellectual property, particularly our patents. 
 We have 39 issued patents, 8 of them are already issued in the area of UltraShear and there's 17 more pending in UltraShear. There's 39 total and especially if it's not UltraShear which we have some very strong patents, we have strong patents in the other 2 areas, PCT and BaroFold. But I'd say, particularly in BaroFold since that's a newer technology that we acquired back in 2017, so we have some very good patents.
 I've -- in a previous life, I've had -- I've hired people to look at patent estates and come back. It's not cheap, not even close to being cheap. I said in a press release just a couple of weeks ago, my personal opinion is that I believe that these patents are worth much more than our market cap and much more than our enterprise value. That's my own personal opinion based upon 50 years of being in the business that these patents are worth a lot. 
 We're looking at the possibility of getting them looked at by a group that could apprise them and the appraisal would be held up by others who would believe in that appraisal. I believe that, that appraisal, again, will come in at multiples of our current value. So we're working on it now more later, but we'd like to get that done sooner than later if we can find someone of good reputation that can do it for a reasonable price. 
Jeffrey Peterson: Rick, I might jump on some points you made there as well. I was going to circle back around on this later anyway, but I'll say I'm a little self-conscious when we spend all the time that we have on -- just even on this call talking about cannabis because it's certainly not a cannabis-centric company in terms of our overall focus and strategy. Within the UltraShear area, we have vastly larger opportunities across so many other market sectors outside of it. Cannabis has been a very convenient vector for demonstration for us and where people can relate to personal experiences and so on. 
 I mean to give a sense of that without divulging the specifics, we've -- as an example, have had the President of a $40 billion multinational company not only make the effort to have initial meetings with Rick at a conference but then to come to Pressure Bio outside of Boston and spend hours to meet the team, get acquainted with the technology and literally stopped a clinical trial that was getting started in order to get UltraShear-treated product into that clinical trial. This is just One example of the kind of impact and import that this technology can have. This was in a nutraceutical type of application, but we expect this to be game-changing, again, cosmoceuticals, agrochem and beyond. So excited about that. 
 But even in the historical segments where, again, we have significant patent of state and traction already. In PCT, I think the audience may recall our announcement of a major Chinese distributor earlier this year with a commitment for 16 PCT machines, several of which have been build and delivered already and more remaining for the rest of this year. We have a new distributor in India that is getting started, and we're flying out to -- I shouldn't say we, not Rick and I, but we have the first install about to be accomplished by a member of our team in India coming up here very quickly and we expect that to proceed into, again, a significant growth sector for the established PCT business. 
 In the BaroFold area, which is unfolding and refolding proteins, which is critical in the biopharmaceutical development and manufacturing processes. We've had a number of programs going on with some key partners from contract development and manufacturing organizations to biopharma companies with specific needs to be addressed internally. And again, we are responding to request to quote in that area now and getting indications of the desires to put BaroFold facilities into literally more than a couple of dozen sites potentially. 
 So these are the other dimensions of what it continues to develop with excitement in the business, and I think it's helpful for folks to feel a little bit of that flavor. 
Richard Schumacher: Jeff, you mentioned big companies, and that's one of the questions we were asked to comment on or one of the points you asked to comment on, basically, to summarize what I was said, it said that over the years, multiple people have asked, why haven't we landed a big contract? Why aren't we working on big company contracts? And I can assure you we are. We've already talked about 1 already, 40 -- roughly a $40 billion company. We have another one that's about a $7 billion company. We've had other companies that were in between those 2 numbers that we've worked with and plan to work with again. But my answer has been unchanged all along. Having done this for 50 years, almost without exception, when you start working with a company that big as a small company, they put you through the ringer and they ask many things of you that maybe a bigger company has the money and wherewithal and staff to do but a small company, when I say a small company, even a company under 500 people, small business association definition of a small company, under 500 people may not be able to do all of that.
 And quite frankly, it's often not even necessary. It's just icing on the cake. And so it is very difficult to work with big companies. You can go out of business, trying to get a land a big company. So our business plan all along has been, let's go after the smaller, more nimble companies that we can turn into customers very quickly. But let's always have several bigger companies because when you land them, everybody knows it. And so we are working, and I was ecstatic when the CEO of this $40 billion company called or his local guy in the U.S. called and said, could we come in and visit you. We'll only be there half an hour. I said that's all right. You can be as long as you want and they stayed for 2.5 hours. 
 So we are working with big companies and we are making headway, and we're also working with a lot of smaller companies, and we're certainly making headway because we've already announced 5 new distributors of our one product. And we've mentioned everybody be aware that others will be mentioned and signed up pretty soon. So we are working with big and with small. And so I hope that answers the question whoever sent us in. Most of these are -- were put together by several people out there, IR people that we use and sent in a bunch of questions.
 Another one talks about, we had a press release about Isiah Thomas and about Adrienne Denese, two different press releases with Isiah Thomas, who's an NBA All-Star, they have a company called One World Products. I can tell you, it is one really exciting company. If you don't know, you should look it up. One World Products are on the OTCQB, I believe. And Isiah and Ken there have done a great job of fighting the battle. We all fight as small companies on the OTC market, and they're making headway. And I spoke with Ken within the last 5 days, and we are still talking about how we can work together, and we spend a good half hour, maybe 40 minutes on the phone, I believe, it was a Sunday night talking about how we can make 1 plus 1 equal 10 between us. And I believe we can. 
 So that is certainly far from dead end. Dr. Adrienne Denese is the #1 seller of anti-aging skin care on QVC, in the history of QVC 20 years, $0.5 billion. And we've been talking a lot with Dr. Denese and her team. And we are working on what we said we're going to work on. We're going to work -- we said we're going to work on a retinol-based product that she could come out that we said she calls a next generation of skin care, antiaging skincare.
 So we're still working. I know there hasn't been any news out there, but I can assure you that in the past 48 hours, 72 hours. We've spoken with people in both organizations. We intend to continue to do that. And we intend to work with them as partners eventually in products that are on the market. 
Jeffrey Peterson: I might add on the work with Dr. Denese that, as I think I mentioned earlier, retinol is the skin tightening ingredient that is used in many different anti-aging formulations. And that was the test vehicle that we ran through UltraShear for Dr. Denese and provided samples back. And of course, they have a standard testing protocol for products like this. And it was, I think, shocking for her and delightful for us to hear the feedback that she had never in her career seeing skin tightening results at the level that the UltraShear retinol produced. 
Richard Schumacher: Thanks, Jeff. So 2 more things. One is we've mentioned recently, in a couple of press releases. We've had a number of employees who are upset because we're -- we have so much going on that our lawyers continue to tell us that we're in a blackout period, both at the Board level and at the company level. And so we can't be in there buying stock. So we started about a month ago and pulling together everything we need to set up an employee stock purchase plan. 
 So it's sort of like a 10b-5 so that employees will be able to participate and be able to buy stock. Several employees came to me and said, "I thought it was cheap when we were at 225 just 6 months ago, this is crazy, Rick, could you hurry up and get this plan going." So we're doing everything we can to get this installed here, and so any employee that would like to and participate in the stock purchase plan from their automatic deduction from their payroll.
 And the last question I have here, we've covered most of these. This one has to do with dilution of shares and it's a bit complex and complicated. But what I can say is that we have an anti-dilution clause in the deal that we did 6 years ago, 5.5 years ago that doesn't allow us to sell stock directly out of the company for under $2.50 a share. So otherwise, we have to allow millions of shares to be or notes that apply to millions of shares to convert at that lower price. 
 And that would be a heavy hand of dilution. And so what we've done is, we've done a lot of notes that will convert at $2.50 a share. And that's how we've gotten by this way for a number of years. And -- but it makes it very difficult when the stock is at $2, we -- Jeff and I were pretty successful in bringing people in even though they were paying up a bit because they saw the value. But when you're below $1, it's -- or even below $1.50, it makes it much more difficult, if not almost impossible.
 So we continue to look at debt as an instrument that can bring money in, bring capital in to help us commercialize this amazing technology of UltraShear. And in doing so, we've added a lot of debt to the balance sheet. But as Jeff mentioned earlier, our largest investor agreed to in the first quarter, to convert $10 million into -- of debt into equity. And in the second quarter, once we got the preferred stock effectuated through the state of Commonwealth of Massachusetts, the person did do the conversion, and you'll see it, you'll see a $10 million less of debt on the balance sheet. 
 Jeff and I both believe that there are multiple other investors who have so much to gain by having this stock go in the opposite direction of where it's gone for the last 6 months that we believe there will be other people that will be willing to convert their debt to equity. I will say that the equity that this #1 investor converted into was a preferred stock. And as such, it's not tradable on the market. So I've had some people say, is the person who converted $10 million selling and the answer is, as far as I can tell, no, because the person converted into preferred stock and they have not converted the preferred stock into common stock. 
 So it would be very difficult for them to sell plus Jeff and I know this person very well. And this is a person that -- a terrific shareholder, somebody that deserves to make a very good return on their investment been very strongly supportive us over the years and doing things like this, converting the debt to equity. So we're indebted to this investor. This is not the investor who would be selling this in an investor who is doing everything he can to help us out in our opinion.
 So that's it. I got a notice here from -- we're supposed to have 45 minutes, and we've had 52. So I know that we need to summarize and then get on with things. So Jeff, any -- I'm going to do a summary, but any last things that you'd like to do before I do my summary. 
Jeffrey Peterson: I think we've hit most of the points. I'll just say that we remain excited and confident about the path forward here with UltraShear. The positive activities going on in our traditional product areas in PCT and BaroFold are very partnering and encouraging as well. But as Rick made clear at the beginning, 90% plus of our focus and attention is on UltraShear. We're delighted at the trend line in new partnerships, new distributors that are off and running with our activities in the cannabis area not to mention larger strategic programs outside of cannabis. So I think we're quite excited and optimistic about navigating the rest of the path as we try to move into an uplift to NASDAQ or NYSE at the earliest opportunity. 
Richard Schumacher: Thanks, Jeff. And for me, I can -- the first thing I want to say is that I take everything that this company does personally. I'm the founder of the company. I'm the guy that lay in bed 20 years ago and said, I wonder if we could start a company using this incredible power of nature pressure and can we do it? And can we change the world? And the answer is we did it. And yes, we can change the world. There's no doubt. 
 I know that in my life, I -- my first company, Boston Biomedica has saved millions of lives and the 300 people that joined me after I started it, I commend them because the products that we came out with made blood bank testing and hospital testing for infectious disease far superior to what it was at that time and many people, thousands -- tens of thousands of people, maybe hundreds of thousands of people did not get transfusions of blood or blood products because our products said no way, there's something wrong here, do not transfuse that blood, go back and retest.
 And I feel like this technology we have is just as strong. I actually feel it's stronger. This is a platform technology that we own the patents for. We've proven it when the peer-reviewed journal article comes out, which we think will happen in a matter of days or weeks, we hope so that it will help prove it. And the data we've already presented has helped prove that UltraShear works. We have 8 issued patents. We have 17 more coming we can take any oil-based active ingredient, and we can make it more absorbable. 
 But we haven't found one yet that hasn't become more bioavailable, more stable, more essentially water soluble. And all we're doing is touching the proverbial tip of the iceberg. We're looking at a technology that has a reach that goes into everything from nutraceuticals. Think about the hundreds of nutraceuticals that are out there that people spend billions of dollars a year. And yet, as Jeff pointed out, all of these things are probably in the 5%, 10%, 15%, 20% level of bioavailability. 
 They're not getting into the circulating blood the way they should. They're not being able to help us the way that we expect them to help us when we spend that money, billions of dollars in nutraceuticals, whether it's curcumin or astaxanthin or vitamin D3 or any vitamin A or any vitamin D, any Vitamin K, any vitamin E, any of the supplements. All of these can be made better. They can be made higher quality through UltraShear technology, the technology that our company owns.
 We also can do the same for cosmetics and cosmeceuticals. We can do the same for agrochemicals. We can do the same in food and beverage. We can make beverages that are clean label. You don't have to use preservatives, you can use the methods that we own to help extend the shelf life so that without having used chemical additives, we've already proven that. And then when you look at pharmaceuticals, my gosh, the world is our oyster in pharmaceuticals. 44% of all new drugs are in oil. And how do we get that out, how do we get that compound out and into our system? As efficiently as possible with UltraShear. That's how we do with UltraShear. So we have a technology that can change the world more than we changed the world of Boston Biomedica. It's so exciting.
 It's been tough because as a small company that's undercapitalized, it makes it very difficult to fund everything, but we're getting it done. And we have a number of things that are going on. We're talking to companies that we think want to partner with us. And obviously, we mentioned along the way that we're looking for strategic investments. Jeff in his quote today, talked about noncore assets that have very much -- a lot of value that we're looking at. 
 We've actually had people come to us and say, if 90% of your business is in this group, in this area, what about the other? Do you have any interest in licensing or selling off some of those assets to us. So when you start looking at different ways of nondilutive finance, believe me, they're in the tips of our mind every single day. So we're excited about what we have. We know we can change the world in multiple areas. We know we have to focus, which is what we're doing, and we know we need your help. We need the help of our shareholders. 
 So again, thank you for those of you who have stuck with us at this time in this very tough time in the last few months where the stock has gone in the wrong direction, and we don't understand why. And we just know that this company is worth multiples, in our opinion, it's worth multiples of what the value is, whether it's the enterprise value or the market cap, we believe we worth multiples. And our goal is to show people. We need to show them that this is the real McCoy. This is it. And that's what we're going to do. 
 So I appreciate everybody's help. I appreciate everybody sticking with us. I appreciate you taking time today. And we think we're going to have one heck of a second half of this year. We've already said our goal is to do $1 million on one of the quarters. And we had a record quarter, the first quarter at $700-plus thousand So we got a ways to go to hit $1 million. But UltraShear can get us there. UltraShear -- it's just now -- one of our good bankers keep saying, Rick, it's been linear. You've laid the foundation and the steps are going up and up and up, and I, he can now see how it's leading towards profitability and leading towards a bang-up company. And so that's what we're about to show. We feel it in our bones. 
 We appreciate everybody, and we look forward to talking with you in November when we talk about our third quarter numbers. 
 So Matthew, thank you very much. I think we've used up exactly the 1 hour you gave us. 
Operator: Thank you, everyone. This concludes today's event. You may disconnect at this time, and have a wonderful day. Thank you for your participation.